Operator: Greetings, and welcome to Shift4 Q1 2024 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 I would now like to turn the conference over to your host, Tom McCrohan, Executive Vice President, Investor Relations. Please go ahead. 
Thomas McCrohan: Thank you, operator. Good morning, everyone, and welcome to Shift4's first quarter 2024 earnings conference call. With me on the call today are Jared Isaacman, Shift4's Chief Executive Officer; Taylor Lauber, our President and Chief Strategy Officer; and Nancy Disman, our Chief Financial Officer. 
 This call is being webcast on the Investor Relations section of our website, which can be found at investors.shift4.com. Today's call is also being simulcast on X Spaces, formerly known as Twitter, which can be accessed through our corporate Twitter account @Shift4. 
 Our quarterly shareholder letter, quarterly financial results and other materials related to our quarterly results have all been posted to our IR website. 
 Our call and earnings materials today include forward-looking statements. These statements are not guarantees of future performance, and our actual results could differ materially as a result of certain risks, uncertainties and many important factors. 
 Additional information concerning those factors is available in our most recent reports on Forms 10-K and 10-Q, which you can find on the SEC's website and the Investor Relations section of our corporate website.  
 For any non-GAAP financial information discussed on this call, the related GAAP measures and reconciliations are available in today's quarterly shareholder letter.  
 With that, let me call -- let me turn the call over to Jared. Jared? 
Jared Isaacman: Thanks, Tom. So if you've already reviewed our earnings letter, then you already know this was a very busy quarter, and there's an awful lot for us to discuss today.  
 So we wrapped up a strategic review. We continue to win some of the most coveted enterprise merchants. We added thousands of new SkyTab customers. We cross-sell ticketing into our numerous stadium wins, and we announced a synergy-rich and very attractively priced acquisition, alongside continuing our geographic expansion and delivering reasonably strong results and record free cash flow.  
 So I think the only thing we probably could have done better is help analysts capture the right seasonal cadence of our business. We're obviously diversifying and growing very quickly. So to help with that, we have largely reaffirmed and positively revised our EBITDA and free cash flow guidance, and we broke it out on a quarterly basis for the balance of the year.  
 So I just said a lot, and I'd like to break it down and expand on it point by point. So with respect to the strategic review, I would encourage you to read my shareholder letter if you'd like my complete personal take on the matter. But the bottom line is there was a lot of strategic interest and multiple formal offers materially higher than our present trading price.  
 It should also be obvious that a go-private option is usually available, and others have clearly shown that to be the case. However, the go-private option presents clear complexities alongside competing strategic offers. And I, of course, always want my interest to be completely aligned with the rest of my fellow shareholders.  
 So now as the strategic review process progressed, we continue to record some very big wins. And as a result, our price expectations rightfully kept going up. And I imagine after reviewing this quarter's shareholder presentation, it will be even more obvious why we could never accept an offer that didn't properly value the trajectory of the business.  
 So on that note, we did deliver some very big wins. I will go over the full list by vertical shortly, but we signed one of the single largest casino properties in the world, which is Foxwoods, alongside developing a major partnership with one of the largest casino operators in the world, and we'll talk more about that soon. And we have many more to follow.  
 Our SkyTab growth further accelerated with nearly 9,400 system installs in Q1, which represents a 38% increase quarter-over-quarter. We have continued momentum in our sports and entertainment vertical, including notable stadium and ticketing wins for the NFL world champions, the Kansas City Chiefs.
 We also announced this quarter the acquisition of Revel, which I'll speak to a bit later in the prepared remarks. We followed our very important strategic customer into several new international markets, including Albania, Mongolia, and soon in several African countries, Fiji and Maldives.  
 And the associated results from all this met our expectations and set the stage very well for the balance of the year. So we generated 50% growth in end-to-end payment volume, 27% growth in gross profit and 32% growth in gross revenue less network fees. We also generated $122 million of adjusted EBITDA, representing 36% year-over-year growth as our margins expanded 150 basis points to 46% versus the corresponding year-ago quarter.  
 Our operating margin expanded, despite the margin drag from the acquisitions of Appetize and Finaro, both of which negatively impacted our margins by nearly 300 basis points for the quarter. Naturally, as synergies are realized, we expect that drag to disappear and contribute to our ongoing margin expansion targets.  
 Perhaps, most importantly, we generated $78.2 million of adjusted free cash flow, which is up 34% versus a year ago. Our blended spreads also remain stable, coming in at approximately 62 basis points, despite considerable volume growth.  
 As mentioned earlier, an area we can -- which we can improve is helping the analyst community better model the seasonal cadence of our business. Q1 typically represents the seasonally slowest quarter of the year, and 2024 has followed that pattern. 
 Now if you recall, the Q1 of last year benefited from growing over an Omicron-depressed Q1 of 2022. So that aside, we also know we are diversifying into many new verticals and growing quickly, which makes modeling challenging at times.  
 So to help with that, we are providing quarterly guidance for the balance of the year to include positive revisions to EBITDA and free cash flow conversion. Our guidance does not include the recently announced acquisition, but does account for the accelerating organic growth that we have great visibility into as well as expense discipline and efficiency gains.  
 From here, I intend to provide the usual double-click by vertical to include our progress internationally as well as more insights into our recent M&A activity. 
 Now starting with our core, which, as a reminder, is composed primarily of restaurants, hotel and specialty retail, once again contributed meaningfully to our growth. We are uniquely advantaged to win hotels and resorts with our 550-plus strong software integration library, including industry-leading business intelligence tools and ever-expanding geographic coverage.  
 With restaurants, we have a very powerful and growing distribution network that includes both our direct sales team and authorized partners. We are advantaged as we see really Toast and SkyTab as the only modern cloud POS offerings capable of servicing table service restaurants at scale. We further believe we have a more effective and lower-cost development and go-to-market strategy, which in turn delivers a lower overall cost of service for our customers.  
 Now specifically with restaurants, we signed many notable brands to our platform and set new records with SkyTab installations. We signed chains such as Pizza Twist, a growing chain of Indian-inspired pizza with locations throughout the U.S. and Canada; Diverse Concepts, a professional restaurant management company with 7 restaurant concepts; and 4Top Hospitality Group, a multi-concept independent restaurant group with 15 locations across the Southeast.  
 We also signed Grape Street Café & Wine Bar with 2 locations in Las Vegas and Summerlin; Vessel, located in historically purposed Lutheran Church in Mid-City, New Orleans; the infamous Hog's Breath Saloon in Key West Florida; and the award-winning Union League Cafe directly across the street from Yale University, which recently celebrated 30 years in business.  
 In the U.S., our SkyTab production accelerated with approximately 9,400 system installs during the recent quarter. Our cloud-based, feature-rich and low-cost restaurant solution continues to resonate with restaurants. In April, we launched SkyTab Business Intelligence, which is a reporting and analytics platform that is free to SkyTab POS customers. This follows the launch of our AI website builder last quarter. 
 We've released many modules, as indicated in our shareholder presentation, and we don't charge for any of them. We don't believe there is a restaurant out there that is excited to pay POS companies for more modules and instead prefer a lower overall cost of service.  
 So on that note, we believe our SkyTab POS offering offers the most compelling value proposition in the market with a total cost of ownership that is extremely competitive versus comparable solutions. At the current Q1 run rate, we are on pace to exceed our goal of 30,000 system installs of SkyTab for 2024.  
 Now outside the United States, our team is building awareness in the SkyTab POS product in the United Kingdom and Ireland and continues to sign up new restaurants, including Suvlaki, located within London's West End and within walking distance to the Prince Edward Theater. We also signed Ram's Restaurant just outside of London city limits.  
 Further, we are really excited to have been awarded the online ordering for Pizza Hut in Spain and Portugal. And these early international strides, organic product investments alongside our M&A strategy inspires confidence in our goal to sign 10,000 new restaurant and hotels -- hotel customers, specifically in Europe and Canada before the year-end.  
 Now turning to hotels. We had a record quarter of major signings. And as alluded to earlier in my prepared remarks, we developed a partnership with one of the largest casino operators in the world that we plan to speak to later this year as well as signing one of the single largest casino properties in the world, the largest in North America, which is Foxwoods.  
 We also signed Ho-Chunk Casino Hotel, a Native American hotel chain located in Wisconsin. In addition to these major casino wins, we had a record quarter of gateway conversions. We signed The Ranch at Rock Creek, which is a Montana-based 5-star rated luxury spa and dude ranch; Sunseeker Resort on Florida's Gulf Coast; and Acme Hospitality, an operator of several hotels and multiple award-winning restaurants throughout California.  
 We also signed Tropical Beach Resorts, a collection of boutique hotels in Siesta Key; the River Street Inn, located in Savannah's historic River Street; The Eddy Taproom & Hotel, which is a boutique hotel located in Golden, Colorado; Brasada Hospitality, which is an upscale resort located in Central Oregon's Cascade Mountains; and Mohonk Mountain House, a national historic landmark and resort located in the Hudson Valley of New York State.  
 Our expansion into Canada is also going well. And we signed hotels, including the Halcyon Hot Springs Resort, which is a spa resort located in British Columbia; Fairways Hotel on the Mountain, which is a golf resort in the mountains of the capital city of Victoria; Coastal (sic) [ Coast ] Hotels, which is an operator of multiple Canadian hotels; and the Lac Le Jeune, which is a hotel that's located on the shores of beautiful Lac Le Jeune in Canada.  
 In Europe, we also signed Leonardo Hotels, which is a European brand with hundreds of locations throughout Europe and in the U.K. And our business development pipeline for European hotel prospects is building very, very quickly.  
 Now in specialty retail, we signed Russell Stover, which just celebrated its 100th anniversary; and Ledson Winery, which is a fifth generation family owned winery located in the heart of Sonoma Valley. We also expanded our relationship with Goodwill Industries, and we'll serve as a primary payment processor for their 3 new Goodwill stores, which opened in Puerto Rico.  
 In Europe, we entered into an agreement to process payments for online beauty retailer, Luxplus; a card-present payments provider in Southern Europe's EV charging network, Atlante; and card-acquiring services for the digital banking platform, OneMoneyWay. We're also enabling merchants to accept digital wallets such as PayPal, Venmo and Cash App in Europe through a partnership with POS.  
 We entered into agreements to provide card-acquiring services for Bravo Tours, which is a Danish online travel agent as well as Sweden's DentFriends, which is a network of hundreds of dental clinics; and signed a partnership agreement with a couple of European PSPs, Payter and Fabrick, which service merchants in the Netherlands, Italy, Spain and the U.K.  
 Moving on to new verticals. Now in sports and entertainment, we continue to add ticketing volume with our existing clients and successfully migrated Appetize customers onto the Shift4 VenueNext platform.  
 So we were awarded ticketing from the Kansas City Chiefs, the Chicago White Sox and the Minnesota Vikings. Now the Vikings and White Sox represented a ticketing upsell to an existing stadium customer. 
 We also converted American Airlines Center, home of the Dallas Mavericks and Dallas Stars, to our platform, and signed the University of Oklahoma, University of Utah and the University of Nebraska, the last of which we will also be powering ticketing for via our partnership with Paciolan. 
 We also recently hosted an investor event at Yankee Stadium, highlighting one of our largest VenueNext installations that was also a conversion from Appetize. We signed payment processing agreements with several convention centers, including the Boston Convention Center, all of which were legacy Appetize customers. 
 Now in Minor League Baseball, we entered into ticketing and concession deals with 10 additional Minor League Baseball stadiums, increasing our total roster to approximately 60 Minor League Baseball teams that are Shift4 customers. 
 And we are really excited to announce 2 European stadium wins, including the famous FC Barcelona alongside Exeter City. And our strategic partnership with FC Barcelona includes deploying comprehensive technology and payment stack to their iconic new stadium, Spotify Camp Nou. 
 I often remind investors when we were asked about the organic growth profile of the business or revenue acceleration to think about literally the dozens of major wins that I just talked about just now alongside every other quarter. I mean, we are literally powering the best experiences at the coolest venues from the Super Bowl to The Rolling Stones. 
 And these caliber of merchants are not selecting Shift4 because we were somehow a fraction of $0.01 less expensive. It's because the commerce-enabling solution we are providing is the best fit for their business. 
 So continuing on with new verticals to nonprofits. The first quarter should actually be a seasonal low, where we are, in fact, seeing The Giving Block transaction volume and donations up quarter-over-quarter, which we estimate will lead to year-over-year growth in excess of 400%. 
 We entered into inspiring collaboration with Cabrini Mission Foundation to power a meaningful change through crypto philanthropy. The Cabrini Mission Foundation embodies the spirit of St. Frances Xavier Cabrini, the patron saint of immigrants. And her story continues to resonate notably on the big screen. 
 We've taken our first steps with key integration partners such as GivenGain and Give Lively. These integrations and others to come will dwarf our efforts to process for individual nonprofits, unlocking opportunities to process for tens of thousands of charities. Outside of direct relationships with major organizations like St. Jude, these integration partnerships will be the drivers of our success in the nonprofit sector. 
 Beyond traditional credit card and crypto volume, we also continue to make tremendous progress growing our market share, processing alternative donation methods for nonprofit organizations via The Giving Block such as stocks and donor advisory fund grants. This quarter, we signed large charities like the Jewish Community Foundation, the Catholic Charities fund and expanded our relationship with the American Heart Association. 
 In other new verticals like travel, gaming and sexy tech, we signed Grand Canyon Airlines, the oldest aerial tour operator providing site seeing tours for the Grand Canyon. In gaming, we are now live with SkyTab mobile devices at our first BetMGM Sportsbook locations, National Stadium in Washington, D.C. And next month, we will be live with the Cincinnati Reds Stadium. We expect to be live in all 24 BetMGM Sportsbook locations across 9 states by the end of this year. 
 SkyTab devices are also being integrated with passport technology to enable various cashless gaming experiences on the casino floor at casinos such as the Morongo Casino outside of Palm Springs. Separately, we signed several new online gaming clients during the quarter, including launching more states with Lotto.com in Nebraska, Florida and Arizona for state lottery. 
 We signed prime sports betting and online sports betting platform currently operating in Ohio, New Jersey and Kentucky. And Kentucky was actually soon to follow. And lastly, 10 Ten Gaming, an online gaming and sweepstakes site blending social media with slot and casino-type games. We also went live with Rolling Riches during the quarter, which is now live processing on Shift4. 
 In sexy tech, we teamed up with unified business-to-business commerce platform, Pepperi, to offer buyers on their platform a more efficient and convenient way to pay. Pepperi powers the front and back office for over 1,000 B2B e-commerce merchants in over 70 countries. 
 We signed a payment processing agreement with VinSeeker, which provides consumers and businesses the most comprehensive vehicle history reports in the industry. Perhaps most exciting, we continue to grow volume very quickly with our large strategic e-commerce customer and have organically expanded into several new countries that I mentioned earlier. 
 We've also built on our various domestic and international EV partnerships, including an undisclosed but personally a very special collaboration to support new restaurant concepts at EV charging locations. 
 Now internationally, as mentioned throughout our call, we are executing on a strategy to follow our important strategic customer all over the world and then bring all the products and integrations and services into those markets that made us so successful in the U.S.A. We have signed notable restaurants, hotels, e-commerce and sexy tech providers all over Europe and even into Canada. 
 We feel confident we are well on our way to achieving our 2024 goal of 10,000 restaurants and hotels signed in just international markets, in addition to the 30,000 systems goal we are on pace to exceed in the U.S.A. 
 Now with respect to M&A, to accelerate our growth, especially in the restaurant vertical and international markets, we've announced a really exciting acquisition of Revel this quarter. This deal very much follows our playbook of achieving a lower customer acquisition cost, enhancing distribution to accelerate growth in a core vertical, alongside talent and other synergies. And Taylor will go over this further in just a bit. 
 So in closing, for those familiar with the Shift4 story over the last few years, it's probably not much of a surprise that we've been frustrated from time to time with the lack of appreciation in public markets. It seems like we're always battling one theory after the next to try and explain the way our outperformance. 
 And at times, it feels our competitors always get the benefit of the doubt, be that the fastest-growing single vertical players that lack our diversification or profitability profile or the slower-growing competitors that ran out of good ideas or those that will go private at a 2 or 3 turn EBITDA premium to our present valuation. 
 Meanwhile, we have the best customers in the most desirable verticals, growing faster than just about anyone else and writing several advantages that make it easier and more affordable for us to win, while constantly improving the profitability profile of the business. 
 To put a finer point on it, we've grown EBITDA 7x since our IPO. And yet, Shift4 is only 1.6x more valuable, all while being more diversified and with a much better economic backdrop than a global pandemic. And on that note, I don't know why the long-term [ weighing ] machine hasn't quite kicked in yet. But I do believe those that continue to bet against us are going to quickly be running out of stories to tell as, ultimately, performance and especially free cash flow prevail. 
 Finally, if you only follow us through earnings, you may think we love celebrating all our wins. And I certainly read a lot of them on this call. That actually couldn't be further from the truth. We are obligated, maybe more so than many other companies, to promote and defend our accomplishments. 
 But day to day and in the boardroom, I can assure you, we spend all of our time on things we don't do well, our shortcomings and inefficiencies. In fact, I believe it's our relentless focus on our inadequacies that fuels so much of our momentum. 
 All of our employees know this. And we need to embrace ownership, challenge the status quo, delete old and costly parts, proceduralize and automate to the extent possible and always execute with urgency. That is the Shift4 way. 
 And with that, I will hand it over to Taylor. 
David Lauber: Thank you, Jared, and good morning, everyone. The current operating environment is reasonably favorable for us. While we began the year with some headwinds in same-store sales, merchants exited the quarter roughly flat on same-store sales from a year ago. 
 Merchants also continue to seek out technology that helps streamline the commerce experience. The persistent uncertainty around consumer spending actually helps steer them towards solutions like ours, which eliminate multiple vendors and help save money. 
 We are also advantaged from a capital perspective and can invest in our business at a time when many competitors are pulling back. I'll talk more about how we're allocating capital in a moment. 
 We spent much of Q1 focused on M&A integration. As seen in our recent press releases and earnings material, our approach to sports and entertainment is resonating well with Appetize customers. As Jared mentioned, we recently had the opportunity to host investors at a Yankees' game, which was a former Appetize customer and is now using our VenueNext technology and Shift4 payments throughout the stadium.
 Our ability to deliver world-class technology into complex environments quickly and in a way that delivers meaningful value for our merchants is just one of the reasons we move decisively when M&A opportunities like this present themselves. 
 Similarly, the Finaro business is now operationally and technically integrated into Shift4. You will find numerous examples of European restaurants, hotels and stadiums who have recently chosen Shift4 in our earnings material, all of which would not be possible without the capabilities brought to us via the Finaro acquisition. 
 Contrary to popular myths, these integrations do not distract from our ability to continue to seek out new growth opportunities. When M&A is done right, everyone knows the playbook from the day of closing and is working expeditiously to achieve combined goals. 
 This includes unlocking revenue synergies, deleting unnecessary parts and repurposing personnel, which is evidenced by the margin expansion we've delivered while investing in the business. 
 In that theme, we also continued to invest in our SkyTab product and payment platform and added thousands of new merchants ranging from SMBs to the largest hospitality enterprises in the quarter. 
 This combination of winning products, a large distribution network, economic advantages and volatile capital markets continues to create excellent capital allocation opportunities for us. As a reminder, we generally allocate capital across four major priorities: product innovation; customer acquisition; share repurchases; and M&A, which can dramatically accelerate our strategy, as noted previously with the acquisition of Appetize. 
 In our shareholder letter this morning, we laid out this framework along with our growth capital deployed over the last 5 years. Note that this strategy has resulted in adjusted EBITDA growing sevenfold over the last 5 years, as Jared mentioned earlier. 
 While we are proud of our track record, we also recognize that our work is never done. We will -- and we'll spend a few minutes on how we are positioning ourselves for the year and years ahead. 
 To be frank, we see more interesting capital allocation opportunities than we could reasonably pursue, which is a really fun challenge. There is still much work to be done in delivering our products across Europe and the rest of the world. Our M&A pipeline is full of compelling opportunities in every flavor we like: capability and geography enhancements, low customer acquisition costs, take out the parts, et cetera. 
 We also can't ignore our equity as one of the easiest investments we can make at current trading multiples. In that vein, you will see we announced our intention to acquire Revel POS for $250 million this morning. And while I can't comment at length given a few steps we need to complete before closing, this is a playbook we execute very well, and we're excited to talk about our plans for the business. 
 Should the transaction close by July 1, we would anticipate a roughly $15 million EBITDA contribution during the remainder of the year and a more substantial EBITDA growth in 2025. But of course, we will update you all again when the transaction closes. 
 In terms of other capital allocation priorities, our strategic review and M&A have prevented us from being an active buyer of our equity in recent quarters, which has been frustrating. Similar to 2021 and 2022, we see our equity as highly attractive at current multiples and have announced a larger $500 million repurchase authorization as a result and are implementing an ongoing repurchase plan to take advantage of the dislocation in our equity value. 
 As always, you should expect us to balance this with the priorities I mentioned previously and also leverage -- and also our leverage profile so as to maintain short-, medium- and long-term profitable growth and free cash flow generation. 
 And with that, I'll turn the call over to Nancy to discuss our financial results. 
Nancy Disman: Thanks, Taylor, and good morning, everyone. We delivered another quarter of solid results in line with our expectations, demonstrating again our ability to deliver top line growth, while continuing to drive margin expansion and strong free cash flow conversion. 
 Total Q1 volume of $33 billion grew 50% year-over-year. Gross revenue less network fees grew 32% to $264 million. Our adjusted EBITDA for the quarter was $122 million, up 36%, and adjusted EBITDA margins were 46%. Excluding the impact of the legacy Finaro and Appetize businesses, margins expanded nearly 450 basis points. 
 Our quarterly results were driven by the continued strength of our hospitality and restaurant verticals, momentum across our enterprise merchants, including new verticals, further monetization and convergence of gateway customers and increasingly large contribution from stadiums and ticketing. 
 The blended spread for the first quarter was 62 basis points, in line with our expectations and consistent with our full year guidance for spreads to average 60 basis points. While the evolution of our business has been significant since IPO, and certainly over the last 12 to 18 months, as we have moved upmarket and diversified our verticals, we believe we are approaching a floor of 60 basis points that we expect to hold for the balance of the year. 
 Any deviation from this will likely be a function of volume outperformance. It is worth noting that the spreads across our core business of restaurant, hospitality and specialty retail remained stable. 
 Gateway revenue decreased sequentially in the quarter, reflecting the continued success of our gateway sunset initiative. The remaining gateway conversion population currently represents less than 3 basis points of spread. This highlights the magnitude of the remaining opportunity ahead of us. 
 Subscription and other revenue in Q1 was up 45% compared to the same period last year, driven in part by the success we are having in sports and entertainment and with SkyTab and the restaurant vertical overall. Restaurant SaaS was up 55%. 
 In total, you'll see that Q1 subscription and other revenue of $52 million was down sequentially from Q4, reflecting our continued success of converting Appetize and software-only clients to acquiring and the timing of onetime hardware revenue. This also serves as a good opportunity to remind investors that we often blow up the legacy revenue model of our acquisitions and pivot them towards our signature Shift4 Payments field value proposition. 
 In Q1, total general and administrative expenses increased 25% year-over-year to $107 million driven by the impact of the acquisitions completed in Q4. We remain highly committed to a disciplined approach to cost management, while continuing strategic investment for growth. 
 Our goal of keeping overall headcount flat while investing in talent upgrades remains in place. We are quickly progressing on the overhaul of our operating model, which will further drive efficiency and scalability across our platform. 
 As a reminder, stock-based compensation expense of $23 million is higher in Q1 than other quarters, as has been customary, due to the timing of our annual awards. 
 Our first quarter adjusted EBITDA margins were 46%, representing over 150 basis points of expansion compared to Q1 2023. As I previously just mentioned but worth saying again, excluding the impact of acquisitions, margins actually expanded nearly 450 basis points. 
 We have high conviction on the many opportunities to further improve margins that are still on the horizon, including remaining M&A synergies, utilization of AI technology, implementation of new internal systems and the ongoing streamlining efforts to enhance scalability throughout our business operations. 
 Our adjusted free cash flow in the quarter was $78 million, representing an adjusted free cash flow conversion of 64%, well above our current full year guidance. As a reminder, there will be fluctuations in our conversion rates on a quarterly basis due to the seasonality of our business, the timing of interest payments and the deployment of capital to support growth. But the improvement in our unit economics and operating model give us confidence in our ability to deliver annual year-over-year expansion in our conversion rate. 
 Net income was $28.5 million for the first quarter. Diluted earnings for Class A and Class C share was $0.31. Adjusted net income for the quarter was $50.5 million or $0.54 per A and C share on a diluted basis on a 93 million average fully diluted shares outstanding. 
 Our balance sheet remains strong. And as of the end of the quarter, we have approximately $700 million of available liquidity. Our total indebtedness has a weighted average cost of 1.35%, and we do not have any maturities until December 2025. Our net leverage at quarter end was approximately 2.4x. 
 Our strong balance sheet, growing EBITDA and expanding free cash flow afford us many options to fund strategic priorities, opportunistically buy back stock and satisfy year-end 2025 maturities without being punitive to our equity. 
 Now turning to guidance. For full year 2024, we are tightening our guidance range for end-to-end volume and now expect a range of $167 billion to $175 billion, representing 53% to 61% year-over-year growth. We are also increasing the low end of our adjusted EBITDA range and now expect adjusted EBITDA to be in the range of $640 million to $675 million, representing 72 basis points of year-over-year margin expansion at the midpoint, which includes the drag from acquisitions. 
 We are also increasing our adjusted free cash flow conversion expectations to 60% from 58% previously, which yields $395 million of adjusted free cash flow for full year 2024 at the midpoint of our adjusted EBITDA guidance. 
 Our expectations for gross revenue less network fees remain unchanged. And as mentioned on our last earnings call, we expect organic growth of gross revenue less network fees to be north of 25%. 
 We are also providing a quarterly breakdown of our annual guidance to help investors better understand the impact of seasonality on our business, which can be found on Page 19 of our shareholder letter. 
 A couple of call-outs as it pertains to our guidance. We continue to expect a stronger second half in 2024 due to factors I will elaborate on in a minute. And secondly, our full year and quarterly guidance do not include any contribution from Revel. Once we receive the customary approvals, we will update our guidance at that time. 
 There are several things to note relating to our guide. First, I would like to highlight several initiatives that contribute to growth accelerating through the back half of the year. While most of these points should be obvious by simply reviewing the numerous wins featured each quarter, it is worth emphasizing. 
 SkyTab system installs continue to accelerate each quarter, and we are ahead of schedule on our 30,000 goal for 2024. Many of the wins featured each quarter, especially stadiums and related ticketing opportunities, major enterprise resorts go live several quarters after the announcement. We are particularly fortunate to have won several multibillion dollar opportunities in the hospitality industry that we expect to contribute meaningfully to the back half of this year. 
 2024 marks the first year we are really able to offer our services in Canada and across Europe. And early traction in both hotels and restaurants, including this quarter's Leonardo Hotels announcement are confidence inspiring. Our strategic e-commerce customer continues to add volume quickly, and we have been expanding organically into several new international markets, that Jared discussed, with strong visibility into the back half of the year. 
 The low end of our guide contemplates modest headwinds in consumer spending, during which we are confident we can continue to deliver best-in-class growth among our peer set. On that note, it's worth pointing out that we have been very pleased with same-store sale recovery data we have observed in April. 
 Next, the high end of our guide implies a continuation of recent trends in both our growth in consumer spending as well as several appropriately weighted international expansion initiatives. 
 And finally, while the midpoint of our guide implies modest margin expansion, excluding the impact of legacy Finaro and Appetize, margins are expanding meaningfully in 2024. And to reiterate, the impact of Revel is not included in the guide. 
 Before turning the call back to Jared, I want to reiterate that our balance sheet, cash generation and profitable growth position us incredibly well for the current environment of macro uncertainty. 
 With that, let me now turn the call back to Jared. 
Jared Isaacman: Thanks, Nancy. Okay. This was a long one. So a lot of ground covered, a lot of good wins. 
Jared Isaacman: Before we go to the analyst Q&A, we did say we were going to select 1 or 2 questions from our -- from X. So first one is from Jared Block. 
 From one Jared to another, why did a deal not close to be acquired? Was it valuation? Do you see that a possible acquisition could happen in the near future? 
 Jared, thanks for the question. I mean, this is really what I dedicated my whole kind of opening letter to in the shareholder note. I tried to give the full play by play. There was a lot of strategic interest. And once you have strategic interest, that means really anything from a go-private perspective that has to be sidelined. 
 And I think, look, rightfully, price expectations kept going up because we knew all about these wins. And the market reacted the way they did over the last month. Analyst notes come out the way they do, indicating potential price ranges, and that's what a good independent Board and Special Committee looks at to make determinations. 
 Do I see a possible acquisition in the future? Look, I mean, part of my letter was to say, like, we're very focused on executing on our plan. We outlined our plan and the associated results. 
 That said, long term, I mentioned I don't see my grandkids running a payments business someday. The idea is to make so many problems and create so much frustration for our competition that, at some point, they make the problem go away. I have no idea what that time frame looks like. 
 Also just hitting real quickly, [ Christian Mohammad ], I think this is the third quarter in a row that we've taken one of your questions, but you have good ones. So how has the expansion outside of North America been progressing, stadium, SkyTab, et cetera? Has Shift4 been able to execute its playbook as expected? Are you facing any significant challenges during the expansion? 
 Look, I mean, I don't know. We probably rattled off 100 names this quarter, which for everyone's awareness is not the complete list of our wins for the quarter, even though it may have sounded like it, including a number in Canada and Europe, which we've never talked about before because we never could. I mean, I'd draw attention specifically to Leonardo Hotels. I mean, that's several hundred locations. I mean, that's a fantastic proof point. 
 But we listed hotels in Canada, of which we had billions -- we have billions of gateway volume in Canada that we've never been able to pursue up until this past quarter or 2. 
 So I'd say traction is great. SkyTab is going really well. Really, we put in some into our guide. We put some investments in around the middle of the year to kind of ramp up some of our distribution across Europe because this is really going to be just a distribution game, how we go out -- how we go to market to get SkyTab in front of a lot of restaurants. 
 But we are able to have immediate impact just from the hundreds of third-party integrations we have that already accounted for the European market, whether that's MICROS, Oracle, Microsoft, Agilisys, we're able to kind of get the ground running pretty quick there. So all in all, pretty happy with our international expansion right now. 
 So thanks for those two questions from X. And we will go to the analysts. 
Operator: [Operator Instructions] Our first question today comes from Darrin Peller of Wolfe Research. 
Darrin Peller: But look, with regard to growth and the guidance, obviously, it's great to see the wins you're having. It sounds -- Nancy, it sounded to me like that was the driving force of the conviction of the ramp was all the new wins you've had and those ramping as the year progresses combined, I guess, with SkyTab's success. 
 Maybe just to reiterate, is there -- how much conservatism do you have in understanding that the implementations are going to be timed appropriately? Is there room for timing changes or anything embedded in the outlook? And then maybe just what the actual contribution is from new business versus the original guide you gave on that road map on volume would be helpful. 
 And then a quick one on just organic. I'm assuming it's still in the 20% plus or mid-20s, like as it would be, but if you can comment on the first quarter. 
Nancy Disman: Yes. I mean, I'll start. And certainly, these guys could jump in, but I'll reiterate really what was in my prepared remarks. We absolutely are still reaffirming that we expect organic growth to be in that 25% on a full year basis. And yes, there's definitely acceleration in that through the year, but Q1 was really right in line and very strong. 
 I think when we think about all the things Jared just said, every one of them is certainly quantified to an Excel level that you would expect. So they're not just words on the page, right? So when we think about the acceleration into the back half, there's a lot of detail behind that. 
 And I think that we -- you start with SkyTab, right, and the excess -- the success we're having toward the 30,000 goal, right, totally on track and measurable. The featured wins that we talked about, I don't think we spent as much time today, but the ticketing wins, you know how that works, right? 
 It's just additive and flow through, and that's where you see our incredible positivity around upping the guide on EBITDA and free cash flow, right? That whole unit economic and what we've been talking about for the past 12 months, it's really coming to fruition as you see these go-lives quarter after quarter. And yes, of course, they're timed around certain seasons and so forth with the teams. 
 As we think about hospitality and moving forward with hospitality in Europe and Canada, those wins are happening, right? Two quarters ago, we weren't able to actually bring those on, right? So now those are boarding and live and ramping and absolutely contributing into the back half. 
 And I think just as you think about -- I know Jared talked about the strategic e-commerce customer, right? That's something that is a little bit -- we time it, and it can move just like some of these enterprise launches that we have could move. 
 So we're always going to have that mix issue that we could have a delay because of installs, but our line of sight has always been pretty good. And so I think that's why our -- we've had high conviction around the ramp, and it's not different than what we planned when we gave our original guide. 
Jared Isaacman: Yes. And Darrin, it's Jared here, just to kind of weigh in on those points a little bit more. I mean, first, I'm trying to break things out on a quarterly basis. I mean, simply put, we wouldn't do it unless we had pretty high confidence in it. 
 We're a pretty motivated organization. We like posting wins every quarter. So if things are off the cadence that we believe is likely, we want to correct it and set the proper cadence for the year. So I'd say that, that should be a sign of confidence. 
 In terms of ramp for the back half, to Nancy's point, yes, it's everything you list out in this quarter's earnings report and probably many of the prior quarters as well, like the last 2 or 3. It's just not instantaneous, right? I almost liken it to a manufacturing backlog, right? 
 Maybe we should look at talking about how much in terms of billions of volume of backlog is waiting for installation because we've been posting stadium wins and ticketing wins for several quarters now. And some of them, they might say the go-live is June of 2024, things of that nature. 
 BEI Hotel is a cover of our earnings report 1.5 years ago. It hasn't opened yet. So the -- as that backlog continues to grow, you can get -- you can actually forecast it out with a degree of margin greater than you would have previously. 
 And the last thing I'd just say on your question on the organic side, and Nancy mentioned in her remarks about blowing up the revenue model, I don't think anyone -- people really appreciate the lengths that we will go to wreck a failed revenue model of an acquisition in order to pivot in the right direction. 
 We said this before around the Appetize time, but we will absolutely give freebies away on their SaaS fees for a year or their hardware fees a year, things that were part of their historic business or revenue at the time we acquired just to move them over to our new products, so we can delete parts and monetize through payments. 
 So like it's -- I know that's very tricky for analysts to get their arms around, unless we really itemize it out. But you should assume most of the acquisitions we've done have intentionally been set back from a legacy revenue perspective to move five steps forward in our preferred direction. 
Darrin Peller: Yes, yes. That's great. So it sounds very bottoms up. So that's really helpful. Just very quickly, international, it was great to see the wins, the stadiums, the hotels on both sides. Just the progress you're having there seems like it's truly happening. Any -- what's your opportunity there in the near term? And then maybe -- we know the long term is big, but is that pipeline still continuing in the near term? 
Jared Isaacman: Yes. I mean -- Darrin, Jared here on this one. I think I didn't expect last quarter to be able to talk about as many wins in Europe and Canada this quarter. I mean, we really started. So I mean, there were some pretty impressive wins in there. I know I rattled off a pretty long laundry list there, but we had some pretty big hotels, some pretty big operators. I mean, you got Pizza Hut in a couple of countries. 
 That's pretty good from an online ordering perspective. We've had amazing traction with EV operators. So yes, I'd say in terms of our plans for Europe and Canada, we're ahead of where we thought we were, especially a quarter or 2 ago. 
 That's why we kind of mentioned -- or I mentioned before, we started making some investments. It's in our guide towards the middle of this year just to ramp up some of our distribution firepower in Europe because we think we'll need it. 
Operator: The next question is from Will Nance of Goldman Sachs. 
William Nance: Look, I think the back half ramp in the guidance is kind of the main focus this morning. I'm just getting comfortable with it. I realize Darrin just asked about this. But I guess, can you put a finer point on just what's different about this year from an implementation perspective from prior years? 
 Because I think I'm getting to something like 56% to 57% of revenue in the back half, and it's been pretty consistently more like 54% to 55%. And maybe the answer is just you've got a lot more of these chunky stadium and ticketing wins in the back half. 
 But I was just wondering if you can kind of double click on what's sort of different about the implementation schedule this year versus in prior years just to help people kind of get a better understanding for that. 
Jared Isaacman: Yes. Well, I'll start and then invite Taylor and Nancy to come in. I would really just call it that growing backlog of go-lives. We have certainly been moving up market as demonstrated by the average volume for merchant data. I think it's one of the slides that we periodically put in our earnings report. 
 We've been -- done nothing but move upmarket and diversifying to kind of more complex verticals, like stadiums and e-commerce. And we just have really good visibility into go-lives, and they start stacking up. I mentioned before, there are certainly stadiums and hotels and resorts that we announced 2 quarters ago that are in our backlog for go-lives. 
 And frankly, the bigger the backlog grows, the more margin you have when you start forecasting out, which is largely customer-driven dates when they'll go live. So I think it's a big part of it is just the mix shift and the fact over the last couple of years being in these new verticals, you just have more -- you just have a greater sense of -- or greater visibility into when they'll turn on. 
 Also, I mean, just from a seasonality perspective, the football season, when they do a lot of ticketing, a lot of these are travel and leisure are more seasonally in play in the second half of the year. Nancy or Taylor? 
Nancy Disman: The one thing I would say just to kind of tack on a slightly different topic is we are continuing to synergize prior acquisitions, right? So as we do that, those revenue synergies are helping back half of the year. 
 Also our gateway, since that initiative, it's -- that's a great example of where we have complete visibility of who's moving and when. So the process there will definitely help both from conversion monetization. 
 As you guys know, we talked about carrots moving slightly more to sticks, and it's working. We're getting those conversions end to end. So that, I would say, similar to ticketing, we have visibility to when those moves are going to happen. 
William Nance: Got it. I appreciate all the helpful details. And just a follow-up, actually, Nancy, on that last point, maybe just to rewind a little bit the last quarter. It sounds like there was a bit of a more unusual gateway deal in the prior quarter. I was just wondering if you could kind of update us on how that's impacting the numbers. 
 I know you mentioned the gateway revenues coming down sequentially this quarter again. And so just remind us about the process of getting the converted end-to-end volume up to the kind of the standard net revenue take rates that we would typically expect in those deals. 
 And maybe just some context for -- roughly, I guess, did it come on at significantly lower spreads initially? And just what is that delta that you guys are closing over the course of, I guess, the repapering of the franchisees? 
David Lauber: Yes, sure. Actually, this is Taylor. I'll hit that having been involved with the relationship. It's a dynamic that we described in detail last quarter, which is effectively that we've got a few different opportunities whereby we can contract with franchisees on a direct basis and a higher spread. 
 The way this represents itself in our financials is that we have end-to-end volume today that we would determine -- we would designate as kind of undermonetized, meaning it's paying a lower spread. However, the way the relationship we expect to evolve is that we will be able to contract with the franchisees directly, provide them more services, et cetera. 
 So again, it's a -- Nancy alluded to the spread stability that we're starting to see. This is one area of comfort for us in that regard, which was effectively an institutional relationship where we can take on more of the burden for that large enterprise and contract with the franchisees that -- what are closer to sort of small- to medium-sized businesses rates, one level of spread, but it also takes a while to roll out. It's not something you can attack thousands of locations all at once. Again, kind of alluding to more activity from a revenue perspective in the back half of the year. 
William Nance: Got it. So it is an in-year benefit, the repapering. It's not a multiyear thing. 
David Lauber: It's as fast as we can get to thousands of locations. I don't want to be more specific than that. We try hard. And it also gets -- it also competes with net new business from time to time. So... 
Operator: The next question is from Timothy Chiodo of UBS. 
Timothy Chiodo: I want to touch on the $500 billion figure that's in the shareholder letter. It's the total undermonetized end-to-end volume funnel. At the last update, I believe the gateway opportunity had about $120 billion left. Software was another $30 billion. 
 I was hoping you could just bridge us to the total $500 billion and just expand a little bit and elaborate around that pretty large end-to-end funnel opportunity. 
David Lauber: Yes, sure. So I'll hit this one as well. We put those two slides in there because there's been a lot of talk about capital allocation, how do we think about the dollars we deploy. We believe it's a core competency of our business. It's a really strong differentiator. 
 And I think we're actually quite agnostic in terms of how our dollars get allocated, be that product development, M&A, stock buybacks, customer acquisition costs, et cetera, as long as the math makes a ton of fundamental sense. 
 And so we tried to illustrate kind of what our track record has been over the past few years in terms of total dollars deployed and what the opportunity that those dollars have presented exists. 
 So we've all cited the gateway regularly. That was a portion of that $500 billion, but every dollar we've deployed towards M&A opportunities and otherwise has presented a volume base that we can go attack, that hasn't monetized payments well. And I think we've called out things like Appetize and Focus POS, all of those transactions had volume that isn't quite as daily measurable as the gateway volume, but it's an incredible opportunity. 
 So we laid that out. Again, just to be very clear, you can consider our existing gateway population is a portion of that $500 billion. You can consider Appetize customers inside of that $500 billion, et cetera. What's not inside of that is the transaction that we announced in the page just after that. 
 So we tried to give investors just a sense for why we allocate capital the way we do, what we look for when we deploy a dollar. Again, we are agnostic to whether that dollar is to hire an employee, to build a product, to buy another company or to buy back our own stock as long as the returns make a ton of sense. 
 And hopefully, that gives investors some confidence that when they see us invest dollars, and we announced two interesting ones today in the form of Revel and a large stock buyback, they should be really excited that we found opportunities to meet those return objectives. 
Timothy Chiodo: Perfect. The brief, just a quick numbers one, if you're able to update. I know that last year, or a few years back when you did the in-sourcing, there was the 350 direct sales force. You likely had some other direct sales folks in-house, plus the reseller. So that was a U.S. number. 
 Can you just, one, update the size of the distribution in the U.S., both direct and indirect, and then touch on where that sits for Europe in terms of how much hiring there has been for sales in Europe? 
 And then how many of those distribution partners you have, which I recognize that you just mentioned them a few questions back? But if you could put some numbers to it, that would be appreciated. 
David Lauber: Yes. I'll actually start in reverse and let Jared cover the U.S. sales force. We've been spending a lot of time on the European opportunity. Our European sales force largely consists today of the former Finaro sales team, plus a handful of early-stage software partners that we've had in the U.S. that also install systems throughout Europe, and then a very small handful of incredibly talented folks that put up a disproportionate number of the wins you see in this earnings stack. 
 We are by no means at the scale we'd like to be with regard to European distribution. We've got pretty strong and ambitious plans for our sales force in Europe, but it is by no means where we'd like it to be. 
 Jared, do you want to comment on the U.S.? 
Jared Isaacman: Yes. I think from the time that we did distribution in-sourcing, so I guess, almost 2 years ago, we've increased. We've had several hiring classes for our direct team. So if we increase the size of the direct team by 10% or something, it seems like generally in the ballpark. 
 And then we have added additional authorized partners, mostly in the West Coast, where we just always kind of lacked a direct presence. So yes, and I think it's probably fair to say we'll continue to slowly add more headcount to our direct sales team just to account for SkyTab demand. 
David Lauber: And as you think about the synergies we look for in M&A transactions, the Revel business had an awesome sales team, both direct and the series of partners. We're really excited to work with them as the transaction comes to a close. 
Operator: The next question is from Dan Dolev of Mizuho. 
Dan Dolev: Great to see the organic growth reiteration for the year, very, very strong. I have a quick question about Revel. Kind of -- it was very interesting to see the acquisition. Jared and Taylor, can you maybe give us a sense of the strategic rationale behind it and what you expect to get out of it? 
Jared Isaacman: Yes, sure. Jared here. I'm happy to kick this off. Yes, I mean, this is totally our playbook. I mean, this should be looked at very similarly to Appetize or Focus POS. I mean, we can apply all of our strategies to this. 
 I mean, first and foremost, you have a massive payment cross-sell. So if anyone is familiar with Revel's history, it was valued once at over $500 million. We've certainly announced the purchase price meaningfully less than that. 
 But it was an organization that intentionally overlooked payments for a very long time. It built really good software, won great customers, but payments was somewhat of an afterthought until the last couple of years. So instantly, you have the ability to pursue existing customers, switch them over to payments. 
 Second, again, it's kind of our Space X philosophies that we've adopted here, deleting the parts. You don't need two restaurant products. You're going to take the best capabilities out of Revel for QSR and enterprise and bring them over into SkyTab. And you're going to do that with a lot of talent that happens to be in the same -- [indiscernible] is essentially in the same area as our monster development team in Vilnius, Lithuania. 
 And then you get a lot of distribution to sell a product that you know wins, that has a winning value proposition, meaning, as Taylor mentioned, Revel has a lot of salespeople direct already. They also have authorized partners in Europe for their product as well. 
 So you've got a massive cross-sell. You've got to take out the parts, so delete duplicative product offerings. You pick up a bunch of talent, and then you have a lot of distribution. As Taylor mentioned, we're just going through the standard kind of regulatory approval process. 
 But assuming July 1, it could very well be before that, we said $15 million of EBITDA in the back half of the year, you annualize that, and that's with an acceleration ramp of the following year, you can already get a sense that it was just a perfectly fine financial transaction on its own right. 
David Lauber: Yes. Jared summarized that well. I don't have too much to add, except that we're incredibly excited to get this one over the line. And don't expect it to be much more than July 1, as Jared mentioned. 
Operator: Our last question today will come from Sanjay Sakhrani of KBW. 
Sanjay Sakhrani: I guess, I have a question on SkyTab. I know it's early days, but maybe you could just help us think about the revenue contribution and how you see that developing over time, and maybe also just the revenue potential of a SkyTab customer versus a non-SkyTab customer. 
David Lauber: Yes, I'll start with this, and I think it's important to dimensionalize kind of what our book looks like today. SkyTab is exclusively focused on net new wins, adding customers. When we add a SkyTab unit, it is overwhelmingly a customer that didn't exist in the Shift4 ecosystem prior to that. 
 We also have the opportunity, should we choose to kind of lean on it, to upgrade customers that are on other pieces of restaurant software to SkyTab over time. We will get a SaaS lift from that, but these customers are typically already giving us payments. 
 And as you've seen, we try to price the SaaS offering in SkyTab to be very attractive, vis-a-vis other competitors in the market. We've seen lots of success, as evidenced in kind of our earnings materials and prepared remarks with this strategy. 
 Although we do think there's plenty of room to move price when our nearest competitors brag about the number of modules they can sell to a customer, and all of ours are included in our base pricing, you see the opportunity to charge for it over time, although we're not seeing the need to do that in the current environment to attract a lot of customers. 
 What you should expect from a SkyTab site just kind of at the macro level versus averages in our book is that the restaurants, they're typically a little bit smaller volume than what you have in an average hotel and significantly smaller than a stadium, although we earn a higher spread and we earn a SaaS component on top of it. So a very, very attractive customer in terms of the revenue contribution per dollar of volume. 
 Nancy, I don't know if you want to give any more color on that. 
Nancy Disman: Yes. I would just reiterate. We said that SaaS alone restaurant growth was 55%. All within that is a very high percentage coming from SkyTab well in excess of that. And I think it's just all the components that Taylor talked about, just the ramping. 
 We -- I think the one thing you didn't talk about is just we don't charge for every enhancement right now and every module within SkyTab. It is -- I would say it's not only is it a low cost competitively in the market offering, we also are generally giving 1 year free to many of our customers. 
 So there's this ramp that you're going to see as we start lapping SkyTab. That's going to have -- it's going to impact the back half of this year and certainly in the near term, just bigger revenue, bigger SaaS revenue, just great trajectory. 
Sanjay Sakhrani: Appreciate it. And just my follow-up, Jared. I appreciate all of the comments on the strategic review. But maybe just help us think about sort of what valuation you think makes sense if you were to go down the path of a sale. Or we're just -- I'm trying to dimensionalize sort of what would get you excited and how we should think about the trajectory from here. 
Jared Isaacman: It's a really tough question, right, because I think there's a pretty big gap between how we are valued today and, frankly, how we've been valued for quite some time relative to some of our high-growth peers that don't even kind of share our profitability profile. 
 So I guess, the thing I would point you to is, I mean, during the strategic review, I think almost every analyst put out a note with where they thought Shift4 might transact at and the rationale behind it. And I was -- I think, generally, especially those on the higher end of it, were thinking things through correctly. 
 But I think if you watch the evolution throughout that strategic review, those notes kept getting higher and higher, and I think that was rightfully so, especially when you look under the hood at some of the things that are going on. That certainly makes it hard for, I think, the strategic parties when there's a new note kind of every day and the direction it's going. 
 But I didn't disagree that on the top end of some of those ranges that, that would have been a more appropriate valuation. But certainly, it's well, well above where we're at presently today. 
Operator: That's all the time we have for questions today. This concludes today's conference. You may disconnect your lines at this time, and thank you for your participation.